Operator: Good morning, ladies and gentlemen, and welcome to the quarter two 2019 Great Lakes Dredge & Dock Corp earnings conference call. [Operator instructions] As a reminder, this conference call is being recorded.I would now like to turn the conference over to your host, Ms. Kathy O'Halloran.The floor is yours, ma'am.
Kathy O'Halloran: Thank you. Good morning, and welcome to our quarterly conference call. Joining me on the call this morning is our Chief Executive Officer, Lasse Petterson; and our Chief Financial Officer, Mark Marinko. Lasse will provide an update on the events of the quarter, then Mark will provide an update on our financial results.Lasse will conclude with an update on the outlook for our business and market for the remainder of 2019. Following their comments, there will be an opportunity for questions. During this call, we will make certain forward-looking statements to help you understand our business. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations.Certain risk factors inherent in our business are set forth in our earnings release and in filings with the SEC, including our 2018 Form 10-K and subsequent filings. During this call, we will also refer to non-GAAP financial measures, including adjusted EBITDA from continuing operations, which are explained in the net income to adjusted EBITDA from continuing operations reconciliation attached to our earnings release and posted on our Investor Relations website. With that, I'll turn the call over to Lasse.
Lasse Petterson: Thank you, and good morning. As stated in our earnings release this morning, in the second quarter, the company generated $11.5 million of net income from continuing operations and adjusted EBITDA from continuing operations of $32 million, bringing our full year-to-date net income from continuing operations and adjusted EBITDA to $32 million and $75.9 million, respectively. The second quarter was another active period for the company, making our fourth consecutive quarter showing improvements in both revenue and adjusted EBITDA from continuing operations when comparing to the prior-year quarter. Compared to the first quarter this year, the second quarter had a more normal mix of projects with both port deepenings continuing, new beach restorations, maintenance dredging and flood protection projects.We experienced strong project investment performance overall. And to mention a few, our mechanical and cutterhead dredges performed well on the deepening projects in Jacksonville and Charleston, and we saw good performance on coastal protection projects in Nags Head, Myrtle Beach and Emerald Isle Beach, where our hopper dredges were engaged. Our rivers and lakes fleet continued the flood protection work in Houston, excavating sand from the San Jacinto River with good results and repairing a levy breached during heavy flooding in the Missouri River. The strong operational performance is a direct result of the strategy we put in place two years ago to focus our capital expenditure on upgrading our younger and best-performing dredges and retire some older and less-productive vessels, combined with the addition of both the new large hopper dredge, Ellis Island, and a large upgraded mechanical clamshell dredge, which, by the way, is the largest in the U.S., along with the repatriation to the U.S. market of the cutter dredge, Carolina, from the international markets. Planned dry dockings of several vessels had an impact on second-quarter results, and we expect to have some impact also in the third quarter as two hopper dredges have been scheduled for regulatory dry dockings and automation upgrades. During the quarter, our new hopper dredge, Ellis Island, moved from performing beach restoration work on the East Coast to the Corpus Christi deepening project, where she has continued to outperform the capabilities of any hopper dredge we have seen in this market. The international markets remain slow.We are currently working on a large land reclamation project in Bahrain, which we target to complete by the year -- end of the year. Safe execution and strong performance go hand in hand as we continue to reduce the number of incidents in our workplace. Great Lakes is committed to ensuring that all projects are executed with robust environmental and safety standards, and that will leave the areas that we touch in a better state as a result of the work we've performed. During the quarter, the company participated in the fifth Annual National Safety Week where Great Lakes joined over 70 major construction firm -- firms to celebrate the industry safe work culture.We also saw continued improvements in our overall injury and incident rates. To improve our overall environmental impact, we will partner with our clients as we did on the Tampa Big Bend project where the dredge material was utilized to build out a nature reserve for migrating birds, and we are already getting reports that the bird nest counts are up from previous years. Earlier this year, we announced that we would initiate a process to -- divest of the E&I business from our portfolio, given that it was no longer a strategic fit with our core business. We completed the sale in the second quarter of this year and believe the business and affected team members will be a good strategic fit with a new owner.And this transition -- and the transaction will better position the E&I business to be successful in the future. Now with those updates, I turn the call over to Mark to discuss the results of the quarter.
Mark Marinko: Okay. Thank you, Lasse. I will start with the quarterly results and then discuss some specifics regarding our dredging business. Please remember that as of December 31, 2018, all results from our E&I segment have been placed in the discontinued operations and, therefore, not included in the results that I will discuss.I'll provide a quick update on discontinued operations near the end of my remarks. For the second quarter of 2019, revenues were $185 million, net income from continuing operations was $11.5 million and adjusted EBITDA from continuing operations was $32 million. Total company's revenues for the quarter -- second quarter of 2019 represented a $50 million or 37% increase compared to the second quarter of 2018. The revenue increase was a result of strong project performance throughout the domestic fleet.Gross profit from continuing operations was $37.5 million, compared to $22.1 million in the second quarter of 2018. Gross profit margin was 20.3%, compared to 16.4% in the prior-year quarter. Total company operating income was $22.8 million, which is an increase of $11.8 million over the prior-year quarter. The increase is driven by the additional revenue and strong project performance resulting from enhanced project planning, preparation and execution.These factors were partially offset by an increase in G&A expense related to incentive compensation. Net income from continuing operations for the second quarter of 2019 was $11.5 million, compared to net income from continuing operations of $1.2 million in the prior-year quarter. Current quarter net income includes net interest expense of $7.2 million and an income tax expense of $4.2 million. Net income for the second quarter of 2018 included $9 million in net interest expense and $0.8 million of income tax expense.The reduction in net interest expense is driven by the significant paydown on our revolver, along with interest income generated on our cash balances. Adjusted EBITDA from continuing operations for the second quarter of 2019 was $32 million, compared to adjusted EBITDA from continuing operations of $23.3 million in the second quarter of 2018. Next, let me turn to our balance sheet where at June 30, 2019, we had $125.6 million in cash. Our net debt at June 30, 2019, was $196.8 million.Our total capital expenditures for the quarter were $19.2 million. And as noted in our last earnings announcement, in 2018, the company purchased a clamshell dredge from a competitor who is exiting that market. We made the final payment on this dredge in April of 2019 in the amount of $10 million. As a result of the divestiture of the E&I business, in the second quarter, we recorded an additional loss on the sale of $1.7 million, which is net of income taxes.During the second quarter of 2019, loss from discontinued operations net of income taxes was $3.3 million, compared to a loss from discontinued operations net of income taxes of $2.2 million in the second quarter of 2018. Contracted backlog at June 30, 2019, totaled $498 million, compared to a backlog at December 31, 2018, of $707 million, and at June 30, 2018, of $507 million. The high revenues and project performance in the first half of 2019, combined with the low domestic bid market, caused this anticipated drop in backlog. We amended our revolving credit facility in the quarter, extending it out five years and reducing the size to $200 million.With the significantly improved credit profile of Great Lakes, we're able to achieve lower pricing and more flexible terms to allow us to effectively execute our strategy. Our net debt-to-EBITDA ratio is now down to 1.41 times. With that, I'll turn the call back over to Lasse for his remarks on the outlook moving forward.
Lasse Petterson: Thank you, Mark. As expected, the second-quarter bid market, much like the first, was below the prior year with only $235 million awarded in the total market, of which Great Lakes was awarded $77.6 million. However, we expect bidding to increase significantly in the third and fourth quarters with our total bid market for the year anticipated to be approximately $1.6 billion. Our focus will remain on the large and technically challenging port deepening projects, major coastal restoration projects and shipping channel improvement projects, which are driven by new energy export facilities.These are projects where we can excel with our technical expertise, experience, safety performance and our large, diverse fleet. Additional phases of projects where we are already working are expected to be bid and awarded in the second half of 2019 such as Savannah, Corpus Christi, Charleston and Jacksonville. We also expect to bid on new deepening projects in the ports of Norfolk, Virginia and Freeport, Texas. Several large coastal restoration projects are expected to bid in Mississippi and Louisiana.Now we have started to see bid advertisements for new projects for beach restoration or flood control funded from the supplemental appropriations from 2018 for disaster relief and recovery, which includes $17.4 billion for the corps to fund projects that will reduce the risk of future damage from flood and storm events. And some estimates indicate as much as $1.8 billion of this work will be dredging-related. Additionally, at the end of 2018, Congress passed $1.7 billion of supplemental appropriations for disaster relief funding as a result of Hurricane Florence. We have not yet seen any bidding activity from these funds but expect movement on these projects as well in the second half of the year.In conclusion, the first half of 2019 was an excellent start to what we believe to be another active year for Great Lakes. With solid projects in backlog and a strong outlook in the domestic market, we believe 2019, even with the planned dry docks, will continue the success we saw in 2018. With this new level of performance, we are in a good financial position to make timely and prudent investments in our fleet, enhancing the current assets and planning for future additions. We look forward to continued partnership with the United States Army Corps of Engineers, port authorities and energy companies to ensure the safe and successful completion of their projects on time and on budget and, thereby, providing a safe working environment for our employees and a positive returns to our shareholders.And with that, I'll turn the call over for questions.
Operator: [Operator instructions] Your first question comes from the line of Mr. Jon Tanwanteng. Your line is open, sir.
Jon Tanwanteng: Hey, gentlemen, thank you for taking my questions. A very nice quarter.
Lasse Petterson: Thanks, Jon.
Jon Tanwanteng: My first one is, given the strong operational performance, the cash infusion from E&I, which, by the way, was better than what we expected, how should we think of your capital allocation plans now? Are you closer to deciding on a new dredge? Or is your priority still to pay down the debt when it becomes callable next year?
Mark Marinko: Yeah. So Jon, I would say in the short term here, you know that, as we said before, it's really -- you pay a pretty good premium to call that debt. And I can't call it until May of next year at 104 premium. So in the short term here, as Lasse just said on his kind of comments, is we will look at enhancing our current assets as we've done and then plan for future additions.So in the short term, I'd say it's really about enhancing our current assets.
Jon Tanwanteng: OK. Got it. Do you have a capex expectation for the year that's different from what you said before?
Mark Marinko: No. We're still at $40 million at this point.
Jon Tanwanteng: OK. Understood. And looking at the outlook for the bid market, does your -- do you have an enhanced outlook on your ability to win awards and how much bidding is coming to market in the second half? How does it look compared to three months ago?
Mark Marinko: Yeah. So I mean it's actually still what our expectation was. All year long, we knew that first two quarters were going to be light and then a lot coming up in the second half. And we have a number of large projects coming up, even today, bidding today, and in the next few weeks, and then into the third -- the rest of the third quarter here.So we have a barrier island bidding today, large, over $100 million. We have a deepening project, the Port of Virginia, that's over $100 million coming up in early August. The Mississippi coastal protection in Phase 3 coming up in middle of August. So -- and then a number of, as we said earlier, additional phases of port deepenings we're working today.So yeah, it looks pretty robust with numbers coming up -- large ones in the next 30 days.
Jon Tanwanteng: OK. Great. Thanks for that color. And any update on the maintenance and dry docking schedule that you have for Q3 in the second half? And how do you expect your mix of capital and other work to change as your vessels come back online or go into dry docking?
Mark Marinko: Right. So as Lasse said earlier, I think Q2 was a good representation of the business right now in terms of the project mix, and it's very similar to what we expect in Q3 and Q4. The dry docks will be very similar in Q3 as it was in Q2. So we do -- we had some very strong performance on projects in Q2, which will be a little challenging for us to replicate in kind of Q3 and Q4 as we head into hurricane season here.But -- so because of that, we expect the dry docks being the same in Q2 but maybe not the same level of strong project performance. We expect the gross margin to maybe dip a percentage point or two from where we were in Q2.
Jon Tanwanteng: Got it. OK. And then just going back to the bid market. Can you size the LNG opportunity in that $1.6 billion you're talking about? How much of that, if any, falls into 2019?
Lasse Petterson: Yeah. There are some large bids coming up, and this is driven mostly by new LNG facilities being built around the coast. These bids, depending on the state of the current shipping channel, varies between, call it, $20 million and over $200 million. So it depends really on which projects that are -- are coming to the forefront.But it's nice opportunities for us as we look forward. As you know, the oil and gas story from export of LNG, export of petrochem products is a very positive one for the U.S., and we look forward to participate in this market.
Jon Tanwanteng: Okay. Great. And then finally, last, any update on your aspirations to do work for offshore wind farms? I know New York is trying to be at the forefront of that trend now.
Lasse Petterson: Yeah. As you know, the offshore wind market in Europe has been very strong and developing over the last 20 years. And our international competitors has been -- dredging companies has been the -- in the forefront of participating in that market. That market is now opening up in the U.S.The pace of those developments is a bit uncertain. But we definitely would like to participate in that market, and it could potentially be a very nice diversification for us going forward.
Operator: Your next question comes from the line of Matt Baxter. Your line is open, sir.
Matt Baxter: Good morning. And just wondering, Lasse, if you could give me a little more -- or give us all a little more color on the E&I transaction and what it means to the financial part of the company. How much money did you get for it? What happened? Can you give us any color at all here?
Lasse Petterson: Yeah. Just as we announced last year, our plan was to divest all of the E&I business in the first half of the year. We were successful in achieving that target. And I do believe that there's a good future for the E&I business with the new owner.I'll let Mark comment on the financial impact.
Mark Marinko: Sure. So hi, Matt. As we stated in the earnings release, in the close, in the second quarter, we received, at closing, $17.5 million of cash. That's subject to, I'd say, customary closing adjustments, working capital adjustments, but they won't be material.We don't expect them to be material. We took -- talking about the loss related to it. In the quarter, we took an approximately $2 million loss on the sale. We did book a loss at the end of the -- end of 2018 when we put the asset held for sale.So the total loss on that business is approximately $17 million. But again, most of that we took at the end of last year. We took a little bit additional loss in the quarter related to some liabilities that -- mainly around employment agreements, those type of things, that we retained.
Matt Baxter: So if you're looking at going forward, Mark, thank you, any improvement in the [Audio gap] --
Mark Marinko: Oops, sorry, Matt. You've -- we've lost you on the call.
Matt Baxter: Can you hear me now?
Mark Marinko: Yes. Could you…
Matt Baxter: My question was from the GLDD point of view, since this is now a done transaction, would you look at any favorable reductions in your own retained SG&A since this is best issued today?
Mark Marinko: No. We've -- no. We've already kind of done that related to this business. It was fairly stand-alone from a SG&A standpoint, and those were all really thrown into discontinued operations.Last year, we did have some reductions, but we did that in the end of the prior year.
Matt Baxter: Well, thanks a lot, guys. It needs to stop being a distraction of any kind and continue the good work.
Mark Marinko: Thank you.
Operator: Your next question comes from the line of Poe Fratt. Your line is open, sir.
Poe Fratt: Good morning. Just to talk about the bid market, I guess, in a little more granular detail. On the project that [indiscernible] hopefully received FERC, first, typically last week, and will go to this FID this quarter, you have -- my understanding, you see on the pending bid there, so bids that are [indiscernible]. Do you anticipate that award? It'll be --
Lasse Petterson: I'm sorry. We have a hard time hearing you. Could you repeat the question?
Poe Fratt: When do you expect the decision on next decade and the work that you've submitted with [indiscernible]?
Lasse Petterson: Yeah. There's several of these, the projects, that are coming through the -- in the FERC approval. And as we are following these fairly closely, clearly, after the FERC approval, you need to have a final investment decision. And by that time, we will be bidding the work.So there are some lag on these. As you know, the projects that we are following are proceeding, but there has been some delay on these projects.
Poe Fratt: Great. And then [indiscernible] in early July, do you think that there's a possibility you might [indiscernible] just because the low bidder looks like it might be a smaller company with less capability. Or is that -- are you focused on the next leg of [indiscernible] that would be out in early October?
Lasse Petterson: Again, you were breaking up or is that question related to the Savannah project?
Poe Fratt: Yes. Savannah, it looked like you were the second low bidder in July. Are you focusing more right now on the next work that will come out of Savannah in early October? Or do you think that the -- that bid is still a possibility to go through?
Lasse Petterson: Well, as you know, on these port deepening projects, there are several phases. And really, part of the larger awards is what fits with what we execute best. Some of the work that is being done inside the harbor is [indiscernible]. So there are phases of the deepening projects that are easily accessible for some of our competitors, as a general comment. And there are -- particularly on Savannah, there are further phases of Savannah that is coming out.
Poe Fratt: Great. And then if we could -- you talked about the downtime in the second quarter. It looks like -- according to what I'm looking at, that the Terrapin Island is going to be down for repairs for pretty much all of the third quarter. And then the Liberty Island would be down pretty much for most of its fourth quarter, at least, until November.Is that accurate?
Mark Marinko: Yes. That's really accurate. That's correct.
Poe Fratt: Okay. And then, Mark, could you talk about the -- give us a little more detail on maybe the pricing improvement that you saw on the new credit revolver? And then you talked about flexibility. Can you expand on the flexibility comment?
Mark Marinko: Oh, sure. Sure. So we had a -- when we talk about the better terms, our interest rates on that are 100-point -- basis points better, lower than our old revolver. They're -- they have different -- there's a grid to that.But overall, across the board, 100 bps lower. And we talk about flexibility, and generally, these revolvers have baskets and things or limits to what you can do. In many cases, those limits were removed or baskets were increased, so allows us a lot more flexibility to do what we need to do either, I would say, without bank approval or without any restrictions at all.
Poe Fratt: Great. Maybe we can go back to the bidding. Do you have a number that you could talk about as far as what your current bids outstanding are that -- where you've actually submitted bids?
Lasse Petterson: I don't want -- I can't give a number right now. But yeah, there's one -- really, most of the bids are rip and read, so you would know right away. But we do have one large RFP out there that we're waiting to hear about.
Poe Fratt: Is that in addition to the back to work? Or is that the back to work?
Lasse Petterson: Oh, yeah. This was just -- no. This was, I'll call, regular army corps work I was referring to. In terms of the one on the LNG side, yes, there's only one there. The one I was just referring to was a regular -- it was around port deepening.
Operator: Your next question comes from the line of Mr. Gerry Heffernan. Your line is open, sir.
Gerry Heffernan: Good morning, everybody, and thank you for some really good reports, a really good report here. Lasse and group, if I can step back and just ask a bigger question. We've certainly seen a tremendous turnaround in the business over the last three years. We've -- very happy that the E&I business is sold, and we've cleaned that up.And we're seeing what's great movement in gross margin here in these results. And I would just like to look ahead. You paint a pretty positive picture as far as bid work that is out there. If I'm looking out two, three years, business continues to stay strong.What is the gross margin level that you should obtain on a annual basis, a trailing 12-month basis gross margin level, when you see the company is really working properly, utilizing assets in an efficient way and really have this operation moving as you want to see and be proud of?
Lasse Petterson: Well, thank you for those comments. I do think there's been a lot of work being put in place here by the organization to improve our performance and also getting our fleet in a very good shape to meet the market that we have -- are now starting to see. When we look at the market going forward, the deepening projects will continue. When the Panama Canal opened up and was widened, that gave the ports on the East Coast a lot of incentive to go for deepening projects, that is continuing.And also, the export of petroleum products from the Gulf is going to continue and give us a very good bid market going forward. So with the fleet enhancements that we have already executed, I think we're in a excellent position to take advantage of the market as we see it coming up the next three to five years. And that's a good horizon for a contractor to have. The gross margins that we're achieving right now, I'm starting to be very satisfied with that level.We're looking at a gross margin here around 20%, and we see that level continuing, and that's my target to keep it at that or better.
Gerry Heffernan: Okay. 20% or better. And you -- as you said, hydrocarbon export, Panama Canal opening, a couple of things coming together to really position the North America continent in a position for your business that really hasn't been in, in quite some time. There's room for further revenue expansion or further top-line growth, and you would say also when looking three years out.
Lasse Petterson: Yeah. The market, as far as I can see, is going to be strong and stronger than it has been for the last years in the domestic market. We have increased our earnings potential by addition of the Ellis Island, which was a huge investment for us, $170 million, that came online last year. Now we have seen continued improvements in our performance, and we are very, very optimistic about what that can contribute going forward in this market.We also bought a large clamshell dredge, as you -- as we commented here on the call, and that has been put into operation here in the second quarter with very good results. And we repatriated a cutter dredge from the international market, which also enhanced our revenue and earnings potential. So it is an enhancement of the fleet. We definitely see the earnings potential going forward being there.
Gerry Heffernan: Okay. I appreciate that we're always looking to see how is this business going to develop over the next couple of years. And while, certainly, there has been a very strong stock price snapback from some very depressed levels of -- before, I'm wondering if the market is fully recognizing the earnings power you have in this upcoming cycle. thank you very much for your time.
Mark Marinko: Thank you.
Lasse Petterson: Thank you.
Operator: Your next question comes from the line of Mr. Jon Tanwanteng. Your line is open, sir.
Jon Tanwanteng: Hi, guys. Just a little bit step back from Gerry's question. As you're looking into 2020, how do you see the bid market trending for there? Is it going to improve from 2019 with all this funding for restoration, LNG projects, and what have you, coming to place? Or do you see that fairly steady? I believe the last time we spoke, it was relatively steady from what you saw -- what you're seeing going to 2019.
Lasse Petterson: Yeah. The way we look upon the bid market, we do believe, as I said in my remarks, the bid market to be around 1.7 -- $1.6 billion this year. We do not see that decreasing for next year with the supplemental funding that has been coming through Congress. And we see those projects are starting to come to bid, and that will continue as we see it into next year.So I definitely see a potential in an increased bid market going forward.
Jon Tanwanteng: Okay. So at least flat, unsure to what degree it may improve by.
Mark Marinko: It's too early.
Lasse Petterson: Can you repeat that? Sorry.
Jon Tanwanteng: So at least flat, and maybe the degree of improvement, not quite clear yet.
Lasse Petterson: Oh, I'm positive that we will see a very strong bid market also next year. But we'll see when we get to it. It's a little early. But the indications that we are getting is that the bid market will be strong or increasing from this year.
Operator: I'm showing no further questions at this time. Presenters, please continue.
Kathy O'Halloran: We appreciate the support of our shareholders, employees and business partners. And we thank you for joining us in this discussion about the important developments and initiatives in our business. We look forward to speaking with you during our next earnings discussion. Thank you.
Operator: This concludes today's conference call. You may now disconnect. Have a great day.